Operator: Good day, ladies and gentlemen, and welcome to the Ambac Financial Group 2015 Second Quarter Earnings Call. At this time all participants are in a listen-only-mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder this call may be recorded. I would now like to introduce your host for today's conference Ms. Abbe Goldstein, Head of Investor Relations and Corporate Communications. You may begin your conference.
Abbe Goldstein: Thank you. Good morning, and thank you all for joining today's conference call to discuss Ambac Financial Group's second quarter 2015 financial results. We'd like to remind you that today's presentation may contain forward-looking statements which are based on management's current expectations and are subject to uncertainty and changes in circumstances. Any forward-looking statements are not guarantees of future performance or events. Actual performance and events may differ, possibly materially, from such forward-looking statements. Factors that could cause this include the factors described in our most recent SEC filed quarterly or annual reports under management's discussion and analysis of financial conditions and results of operations and under risk factors. Ambac is not under any obligation and expressly disclaims any obligation to update any forward-looking statements whether as a result of new information, future events or otherwise. Today's presentation contains non-GAAP financial measures. The reconciliations of such measures to the most comparable GAAP figures are included in our earnings press release which is available on our website at ambac.com. Please note we have posted slides on our website to accompany this call. Our speakers today are Nader Tavakoli, Interim President & CEO and David Trick, our CFO. At the conclusion of their prepared remarks, we will open the call for your questions. I would now like to turn the call over to Mr. Tavakoli.
Nader Tavakoli: Good morning. Thanks, Abbe, and thank you all for joining us for today's call. We are pleased to report another very successful quarter for Ambac. The quarter benefited from the active management of our risk exposures and investment portfolios across the firm, including at Ambac UK, as well as favorable moves in interest rates and home prices. We are actively managing our Puerto Rico exposure about which I’ll speak in detail later and positioning the company more efficiently and strategically for future success. Now for some specifics; operating earnings for the second quarter of 2015 were $266 million or $5.70 per fully diluted share. Since emergence from bankruptcy in 2013, Ambac has now achieved cumulative operating earnings of $1.9 billion or about $40 per fully diluted share. Importantly, we continue to manage down our risk exposures. During the quarter, our insured portfolio decreased by another 5% and our adversely classified credits decreased by 8% to $23.3 billion notwithstanding the inclusion of our Puerto Rico exposure. I’d like to highlight a few of the most important updates for the second quarter. A substantial portion of our time is devoted our efforts to harvest an increase of value of Ambac issuance. Paramount among these efforts are our aggressive pursuit of our remaining RMBS rep and warranty cases, optimization of our risk portfolios, our loss mitigation efforts and active management of our investments portfolio. With respect to our RMBS cases, in the Countrywide case Judge Bransten heard oral arguments on motions for summary judgment on July 15. The court will likely render its decision in several months’ time. As many of you know, Judge Bransten took about four months to render a decision in a similar case involving MBIA, and while we had no way of predicting the timing of her decision, we suspect it might be a similar amount of time before she rules in our case. In our JP Morgan litigation last December, JP Morgan AMC filed a motion for partial summary judgment in our second lien case, related to our case for fraudulent inducement. The court heard oral arguments on that motion on July 14, but reserved judgment and order the parties to mediation which is currently scheduled for this Friday, August 14. With respect to Nomura, the court has not established a case schedule. In June we received a largely favorable ruling on Nomura’s motion to dismiss our contract claims in that case. The court has not yet decided Nomura’s motion to dismiss our fraud claims. In our First Franklin case, we have been engaged in discovery for the last couple of years following Justice Schweitzer’s ruling in our favor on the defendants’ motion to dismiss. The case was recently reassigned to Justice Singh of the commercial division following the retirement of Justice Schweitzer. No trial date has been set, but we are hopeful that Justice Singh will now begin to advance the case. We’ve taken a more focused view of the potential value of our UK operations of late. To that end, David Trick will shortly be joining the Board of Ambac UK. Ambac UK was a significant contributor to our results in the quarter. Loss reserves improved by $127 million driven principally by developments associated with our loss mitigation efforts and remediation associated with Ambac UK’s insurance of the Ballantyn structure and foreign currency movements. We intend to continue to thoroughly and opportunistically develop addition sources of loss mediation and mitigation throughout insured portfolio. As you know, we have done this successfully by commuting our policies and purchasing our insured exposure and this quarter was no exception as detailed below. In the past, we have successfully moved the servicing of our RMBS portfolio to value enhancing special services and we continue to look for further opportunities to do so. More recently we have begun to explore opportunities to better manage losses associated with our distressed RMBS portfolios through strategies designed to mitigate losses associated with [REO] sales. We’ve also begun to reduce the risk in our airplane lease securitizations which lead to a reduction in loss reserves in this area in the second quarter. In addition to proactively managing our risks, creating value at Ambac Assurance is equally impacted by our active management of the investment portfolio. Our consolidated investment portfolio has a fair value of $5.5 billion. Our results for the quarter were positively impacted by our interest grade strategies and at the end of June; our financial guarantee investment portfolio had a GAAP book yield of 5.6%. As David will detail, during the quarter we purchased a $186 million market value of distress Ambac insured RMBS including 46 million at AFG. We now own some $946 million of our deferred amounts including interest or 28% of the total deferred amounts outstanding. As we’ve previously disclosed, AAC is contemplating the possibility of entering in to transactions whereby we would exchange the outstanding debt and insurance obligation of Ambac Assurance and segregated accounts of Ambac Assurance with the objective of ending the rehabilitation proceedings. We made good progress during the quarter in discussions with our regulator and various of our policy holders in furtherance of this objective. While we have not reached definitive agreements to date, we continue to dialog with these important parties towards an acceptable outcome that will better position Ambac for the future. As we announced early in the year, we are focused on reducing operating expenses to meet our new needs and drive profitability. To that end, we’ve started to implement a business line restructuring which includes a headcount reduction at the firm. As David will discuss, although there are near term expenses associated with these changes, we anticipated a decrease in expense by over $5 million or approximately 10% of our annual compensation expense. We are reviewing every line item and vendor agreement for additional opportunities and are confident we can make the company more efficient operationally. On June 30, 2015 our Board of Directors authorized establishment of a warrant repurchase program that permits the repurchase of up to $10 million of our outstanding warrants. As of August 7, we purchased over 500,000 warrants for a total of $4.7 million. As previously discussed, the common stock repurchase program is challenging for us to implement because of potential negative tax implications. As we carefully consider cash deployment at the holding company, we believe the warrant repurchase program is an excellent use of our capital. As it relates to Puerto Rico, our net par exposure remains at about $2.4 billion, and you can find details of this exposure on our website. In the quarter, we increased our reserves for our Puerto Rico exposure in order to reflect our updated views on probability weighted potential outcomes. Remember that Ambac was early in recognizing the fiscal issues of Puerto Rico as we downgraded our Puerto Rico exposures and took appropriate reserves long before others. We had previously detailed our specific exposures to Puerto Rico and our views thereon in past calls, and we remain confident of those views. Today, I’d like to speak to our views of the current macro developments around Puerto Rico’s overall needs. Given the long duration of much of our guaranteed Puerto Rico exposure, Ambac’s interests are very much aligned with the long term best interest of the Common Wealth and its people. We are advocating for a comprehensive and sustainable solutions that mitigate our long dated risk. In our assessment, Puerto Rico near-term liquidity helped fiscal discipline structural reform and summarily from Washington, but not Chapter 9. The choice that you are either for Chapter 9 or you are against Puerto Rico is a false choice mistakenly propagated by politicians and bankruptcy advisers. We are very much for supporting Puerto Rico, but we are adamantly opposed to Chapter 9 for Puerto Rico at this time. More than anything else, Puerto Rico needs private investments and private sector job creation. Unfortunately the governments’ current path of selective default and its campaign for Chapter 9 is counterproductive to and completely inconsistent with these needs. The discussion of Chapter 9 is already diverting attention away from fiscal and structural reforms urgently needed to attract those investments, create jobs and grow the economy. The discussion of Chapter 9 is hurting investor confidence and reducing demand for private investment and exacerbating an already weak economy. The Chapter 9 discussion is also hampering discussions with creditors and financial institutions that could provide liquidity and support the Common Wealth. Moreover Chapter 9 is an ineffective tool for Puerto Rico. A significant amount of litigation will start even before a Chapter 9 can be filed and we’ll not be subject to any automatic stay upon the filing of a bankruptcy. The application of Chapter 9 itself will be highly litigated. Much of the Common Wealth’s debt will not qualify for Chapter 9. Moreover the principal haircuts and litigation costs of Chapter 9 and the damage being caused by the talk of it are completely unnecessary. We believe the government can support its debt and as debt problem is a liquidity issue and not a leverage or a solvency issue. The often quoted $72 billion of total debt actually comprises debt of 18 different issuing entities and is exaggerated by the debt of the Common Wealth’s electric and water utilities and that of the Government Development Bank. We also think the general portrayal of Puerto Rico’s leverage is totally misleading. Puerto Rico and its citizens do not share in the obligations for federal government debt of the United States. And accordingly, relative to population and GDP and properly adjusting for federal debt, the Common Wealth’s total debt is in fact lower than that of all states of the United States. Relative to personal income and properly adjusted for federal debt and Puerto Rico’s unguaranteed debt of public utilities and the GDB, Puerto Rico’s total debt is lower than all states within the United States. Relative to GDP and properly adjusting for federal taxes, Puerto Rico’s total tax burden is lower than all of the states of the United States. Most observers neglect the fact that Puerto Rico’s reported debt also includes a significant amount of municipal debt while debt figures generally do not include municipal and county debt. If these local numbers were included in state debt figures as they are in Puerto Rico’s often quoted $72 billion number, states would appear even more leveraged than they already do vis-à-vis Puerto Rico. As state, we believe Puerto Rico should focus on fixing its near term liquidity problem and structural and fiscal reforms not seek Chapter 9. The Common Wealth could eliminate billions of debt and generate billions of dollars of cost savings and incremental revenues through such reforms without resorting to significant employee reductions or much feared austerity measures. For instance, we estimate that by increasing sales and use tax collection rates from 56% to 70%, the government could increase annual revenue by over $500 million. The Common Wealth could generate significant cost savings by rationalizing and consolidating its organizational structures which employ approximately 200,000 employees across a 140 different agencies. Regionalization of the Common Wealth’s 78 municipalities with their attendant independent governments and agencies would save an additional hundreds of millions of dollars. Public private partnership or PREPA process know their public assets could eliminate billions of dollars of debt from the governments balance sheet, reduce costs and improve services to customer. [Being] there are just a few examples of the opportunities available to Puerto Rico if its selected to go down that path. By honoring its contractual obligations and committing to fiscal and structural reforms, the Common Wealth could quickly gain support from its creditors through bridge financing that could be repaid by low cost permanent financings in the capital markets as the reforms take effect. These initiatives would also help the Common Wealth negotiate with the US government for parity with states with respect to certain federal programs. Ambac stands ready to help Puerto Rico resolve its debt problem. We’ve organized creditor meetings in New York and are actively engaged with policy makers in Puerto Rico and Washington. We’ve assembled a world class team of professionals in Washington, New York and Puerto Rico to change the narrative around Puerto Rico from defaulting Chapter 9 to comprehensive and sustainable solutions that are in the best interest of Puerto Rico. With that I’ll turn the call over to David for a financial review, before returning to answer your questions and some closing comments.
David Trick: Thank you Nader. Net income for the second quarter of 2015 was 282.7 million or $6.05 per diluted share compared to 214.7 million or $4.57 per diluted share for the first quarter of 2015. Operating earnings for the second quarter of 2015 were 266 million or $5.70 per diluted share, compared to 247.6 million or $5.27 per diluted share in the first quarter of 2015. Net income and operating earnings in the second quarter were positively impacted by favorable loss development RMBS in Ambac UK and the income from derivative products. Adjusted book value was 741.9 million or $16.49 per diluted share as of June 30, 2015, compared to 479 million or $10.64 per diluted share as of March 31, 2015. The $262.9 million adjusted book value increase was driven by operating earnings. For the second quarter of 2015, net premiums earned were 60.9 million, as compared to 65.7 million in the first quarter, including the accelerations of 13.7 million and 22.9 million respectively. Normal premiums earned were impacted by the run-off of the insured portfolio as well pre-refunding of insured securities. Accelerated premiums earned primarily related to public finance activity. A decline in accelerated premiums from the first quarter reflects the impact of one large exposure that was called in the first quarter in the mix of bonds called. The majority of calls are related to bonds under revenue in 2004 and 2005. Net investment income for the second quarter of 2015 was 64.8 million, as compared to 73 million for the first quarter of 2015. Net investment income was lower as a result of trading portfolio performance. Included in Financial Guarantee net investment income were mark-to-market gains on invested assets classified as trading of 1.4 million in the second quarter of 2015, compared to 8.6 million in the first quarter. The decline resulted primarily from the relative performance of equity and leveraged loan markets. Excluding trading securities, net investment income from the Financial Guarantee investment portfolio was lower due to decreased income resulting from the sale of Ambac insured student loan bonds and lower cash flows from Ambac insured RMBS. Net gains reported and derivatives products revenue for the second quarter of 2015 were 51 million versus 37.8 million loss in the first quarter. The derivative products portfolio which includes a macro hedge and other swaps is positioned to generated gains in a rising interest rate environment in order to provide an economic hedge against the impact of rising rates within the financial guarantee insurance and investment portfolios. Derivative products revenue for the second quarter of 2015 reflects gains caused by rising interest rates and an increase in the Ambac CVA on uncollateralized derivative liabilities partially offset by a $12.3 million charge related to the downgrade of a counter party to a uncollateralized swap. The net loss for the first quarter resulted from falling interest rates partially offset by the impact of the Ambac CVA. Inclusion of the Ambac CVA in the valuation of financial services derivatives resulted in gains within derivative product revenue of 3 million for the second quarter of 2015, compared with the gains of 12.6 million for the first quarter. With regards to loss and loss expenses, Ambac experienced a net benefit of 147.5 million in the second quarter of 2015 driven by lower estimated losses in RMBS and structured finance at Ambac UK, which were partially offset by net adverse developments in domestic public finance and 39.6 million of interest expense on deferred amounts. The RMBS loss benefit of 72.1 million in the second quarter of 2015 was driven by a decrease in first and second lien projected losses. The lower projected RMBS losses included improvements in projected deal performance driven primarily by HPA partially offset by the impact of higher interest rates. The Ambac UK loss benefit of 126.8 million primarily resulted from a reduction and affected future claims resulting from remediation efforts on a structured insurance transaction, as well as the benefit from foreign exchange, given that this policy is denominated in the currency other than Ambac UK’s functional currency. As for domestic public finance, losses incurred were 37.9 million in the second quarter of 2015, including a net increase in reserves for Puerto Rico and net changes and other exposures. During the second quarter of 2015, net claim and loss expenses recovered net of reinsurance were 15.8 million which included 52.6 million of losses paid and 80.4 million of subrogation received. The bulk of subrogation received related to RMBS which exceeded RMBS claims presented for the quarter by nearly 10 million. Gross loss and loss expense reserves gross of reinsurance and net of subrogation recoveries were 3.4 billion at June 30, 2015 and 3.5 billion at March 31, 2015. The decline in loss and loss expense reserves resulted primarily from Ambac UK. Gross loss and loss expense reserves as of June 30, 2015 and March 31, 2015 were net of 2.6 billion of estimated rep and warranty subrogation recoveries. Estimated rep and warranty subrogation recoveries declined slightly as a result of the reduction in estimated life time RMBS losses during the second quarter of 2015. Gross reserves as of June 30, 2015 included approximately 3.4 billion of deferred amounts including accrued interest payable of 409 million. Underwriting and operating expenses for the second quarter of 2015 were 25.9 million compared to 24.5 million for the first quarter of ’15. The expenses increased primarily due to post-employment benefits and legal and other costs associated with our efforts to exit rehabilitation partially offset by a reduction in consulting fees and premium taxes. As part of our ongoing expense management efforts, we recently made some difficult decisions regarding staff reductions. As a result of these reductions, we incurred an additional severance cost and accruals for post-employment cost during the second quarter, and anticipate additional cost in the third quarter as certain reductions are implemented. Annual savings of about 5 million are anticipated from staffing actions. We expect the majority of these expense savings to begin to be realized in the fourth quarter. Interest expense was 20.2 million for the second quarter of 2015 compared to 27.9 million in the first quarter. During the second quarter of 2015, Ambac acquired 11.8 million of Ambac surplus notes and recognized related losses on the extinguishing of debt of 1.2 million representing the accelerated recognition of the unamortized discount on the acquired surplus notes. The acquisition reduced interest expense in the second quarter by 300,000. Income tax expense for the second quarter of 2015 was 3.9 million versus 1.7 million for the first quarter. Alternative minimum taxes accounted for the majority of income tax expense for both periods. Future taxable income of AAC will be subject to annual payments to Ambac by NOL usage tier after certain credits and any additional post determination dates NOLs under its NOL tolling agreement with Ambac. The creditors available to offset the first 5 million of payments is due under each of the NOL usage tiers A, B, and C. AAC has fully utilized its tier A credit and has accrued approximately 11.4 million of tolling payments including 10.1 million in the second quarter of 2015. Tolling payments if any accrue quarterly and are paid to Ambac in the second quarter following the year in which they are generated. Although AAC has utilized all of its post determination date NOLs, additional post determination date NOLs may be generated in the future. At June 30, 2015 the company had 4.7 billion of US federal NOLs including 1.4 billion at AFG and 3.3 billion at AAC. The fair value of the consolidated investment portfolio as of June 30, 2015 was 5.5 billion, virtually unchanged compared to the value at March 31, 2015. During the second quarter, Ambac purchased a 186 million of insured RMBS, 46 million of which was acquired at AFG. Fair value of Ambac insured RMBS in our consolidated portfolio was approximately 1.9 billion or 35%. Notably the majority of the purchases in the second quarter of 2015 were through properly negotiated transactions versus dealer activity, a trend we have mentioned before. As the market for our insured RMBS is shrunked, direct purchases of securities have allowed us to achieve the scale needed to fill our portfolio objectives. Of the 3.4 billion of segregated account deferred amounts at the end of the second quarter, we now own a total of approximately [945] million or 28.3% including accrued interest. To help facilitate AAC insured RMBS purchases and other asset liability and management activity, in July 2015, we executed a re-securitization of Ambac insured RMBS through which we raised gross cash proceeds of a 146 million at LIBOR plus 2.8%. Through the re-securitization, we have monetized a portion of the intrinsic value [reserved] to insured RMBS while retaining the rights to any associated financial guarantee payments. That concludes my prepared remarks and now I will return the call to Nader.
Nader Tavakoli: We’ll open the call up to Q&A now. Thank you David.
Operator: [Operator Instructions] Our first question comes from the line of Andrew Gadlin from Odeon Capital. Your line is open.
Andrew Gadlin - Odeon Capital: The first question is on the NOL tiers that were in of now, where are we within Tier A where there is a 15% change?
Nader Tavakoli: We are about two-third of the way to the first tier Andrew.
Andrew Gadlin - Odeon Capital: So it was about 300 or so million.
David Trick: About 312 million.
Andrew Gadlin - Odeon Capital: And how much has been received from tolling payments until now.
David Trick: We have with AFG; the holding company hasn’t received any tolling payments. The first tolling payment as we continue on this path would be in the second quarter of next year.
Andrew Gadlin - Odeon Capital: Okay, there’s a whole [back] for a year or so.
David Trick: No, you have to look at a tolling calculation work at [Technical difficulty] past taxable year. So we are generating on a quarterly basis a tolling accrual [Technical difficulty] first time. So once [Technical difficulty] 2015 complete annualized tax position and affectively file our tax return at that time is when we would make the tolling payment.
Andrew Gadlin - Odeon Capital: In terms of the RMBS that were bought back this quarter, if the company is up to about 20% of accrued claim, what if they are asking it for a percentage of the future RMBS losses that are already owned by the company.
David Trick: Sorry Andrew I didn’t hear the beginning of that, you broke up a little bit.
Andrew Gadlin - Odeon Capital: Sorry. So I think if a company brought back a 186 million of its own RMBS this quarter including it sounds like about 180 million of just accrued claim, we went from 766 million last quarter to 946 this quarter.
David Trick: Including interest.
Andrew Gadlin - Odeon Capital: Including interest. So the question is when the company presents in the operating supplement a go-forward estimate of future RMBS claims, what percentage of those claims roughly are already owned by the company.
David Trick: Yes, it is about the same relationship Andrew, about 28% to 30% of future tolling.
Andrew Gadlin - Odeon Capital: And then in terms of the (inaudible) 2.8% is pretty cheap, is there a possibility to do more of that going forward.
David Trick: I think there is some possibility [Technical Difficulty] nuanced and customized, so not every RMBS position that we own neatly fits in to them. So we did mind the portfolio for those positions that were the most appropriate for that type of structure. So I think part of what will drive a future transactions like that will be one of course asset liability and management needs but also the nature of the collateral as it develops on the balance sheet in our future purchase activity.
Andrew Gadlin - Odeon Capital: In terms of the exchange efforts that have been going on for some time, I was wondering with everything happening in Puerto Rico, there’s speculation about whether or not it could be still be going forward, and I was wondering if there’s anything you could share with us on that effort.
Nader Tavakoli: Yeah Andrew, I will take that. Look obviously Puerto Rico is having some influence on the conversations, but I wouldn’t characterize the influence of Puerto Rico as being either particularly positive or negative. I think as you can appreciate, it probably increases motivations all around, we had some disclosure with regard to the current status of the conversations in that Q and I can’t really go much beyond those disclosures. The conversations are multi-party, multi-faceted and we have to balance the interests of a variety of people including of stakeholders including policy holders and shareholders. So it’s taking the time that these kinds of complex negotiations often do. But I would say that while Puerto Rico is certainly a factor in the conversations, it hasn’t maturely affected the conversations either positively or negatively.
Andrew Gadlin - Odeon Capital: And I think you mentioned that you are in conversation with the regulator on the exchange concept or work in this past quarter. So presumably without putting words in your mouth, the regulator is on board with the efforts proceeding.
Nader Tavakoli: Yeah I am hesitant to characterize the regulators postures on this. But I think as we’ve said in the past, we are happy with the current status of our relationship with both the rehabilitator of segregated account and our regulator, our commissioner in Madison. Very constructive relationship, we have frequent ongoing conversations about all aspects of the business including the possibilities of relating to potentially exchanging out the obligations of the segregated accounts and so that relationship continues, those conversations continue, and we are continuing with those conversation unabated, so you can deduce from that, that we have regulatory support for it.
Operator: And our next question comes from the line of Alex Klipper of Bank of America. Your line is open.
Alex Klipper - Bank of America: Just on the repurchase of the surplus notes in the second quarter, obviously that came in at a much higher price than where the current surplus notes are trading. So A, did you guys get regulatory approval to repurchase those notes. And B, have you repurchased any notes in the third quarter.
David Trick: One, we didn’t get regulatory approval, the acquisition was made at the holding company, therefore it’s not subject to regulatory approval, strict regulatory approval I should say. And secondly, in the third quarter, we did not make any additional purchases as we so far have been in blackout since the beginning of the third quarter.
Alex Klipper - Bank of America: Got it. So that did not require regulatory approval. Is that part of a discussion you are having with the regulator also to just be able to purchase surplus notes at the insurance company or is that something that interferes with the broader discussion.
David Trick: It certainly would require approval by the regulator, and we can’t really comment too much on the nature of those conversations. But as you know we are pretty active in acquisition of our own insured RMBS, and I think ultimately that’s an important part of our efforts to exit rehabilitation and manage our exposure. So whether its surplus notes or own insured RMBS, overall its needs the same effective outcome given the nature of the surplus in terms of their priority within the balance sheet.
Alex Klipper - Bank of America: Got it. And then how much cash is at the holding company today?
David Trick: We have about 255 million or so of cash and securities at the hold co.
Operator: [Operator Instructions] Our next question comes from the line of Nancy Stuebe from Gabelli. Your line is open.
Nancy Stuebe - Gabelli: You had some positive trends at both Ambac UK and with the adversely classifieds, and I was just wondering if those trends are going to continue through this year.
David Trick: I certainly hope so. I think all of that is obviously a function of few things, both of course the active management of portfolio as well as just general trends within the economy. So I think at this point given the seasoning of our portfolio I think it’s safe to say that we have a fairly good handle around all the risks in the book and believe we’ve identified all those exposures that should be problematic at this point. Everything is of course subject to change, but the book is pretty well seasoned having written our last real insurance policy in 2008 and any real material policy since 2007.
Nancy Stuebe - Gabelli: On the rep and warrant, I know you had said that you’d made your arguments that it’s going to be few months. Is there a chance that this happens before the MBIA timeframe or there is no indication from the judge?
Nader Tavakoli: Nancy as you know having been there, the judge did not give us an indication of her intention as to the timing of the ruling. It’s a relatively complicated matter. There are a number of motions on both sides on a variety of issues, and so while we have no idea and she could surprise us pleasantly, I would think that it’d be hard to imagine it being earlier than the fall.
Nancy Stuebe - Gabelli: And on the number of motions and is this different than how MBIA proceeded? Is Bank of America using just different tactics or is this just what happened last time and it’s just going to take that amount of time.
Nader Tavakoli: Sitting here right now, my recollection of how many different issues were present before her on the MBIA motion, on the motions for summary judgment in that case is not - I am not completely sure of the complexity of that situation versus ours. I’ve read it, but it’s been a while, and so I can’t really draw any comparisons in terms of the number of issues or the complexity of the issues. I guess if you wanted to look at the silver lining, she has obviously got significant familiarity with a lot of the issues, having grappled with them and ruled on them in that case. And it’s possible that that will streamline her thinking and decision making. So from that perspective, I guess, there’s certainly is a possibility that she can come to conclusion more quickly. But again I don’t want to get in the guessing game as to judges calendars and I have no idea what else she’s got on her docket and what her clerks are busy writing up before this one. So I just can’t in to the predicting business, obviously we would like her to rule as quickly as possible. We feel very good about our case before Judge Bransten.
Operator: And our next question comes from the line of Jatin Dewanwala from MetaCapital.
Jatin Dewanwala - MetaCapital: My questions’ related to the domestic public finance exposure, and I’m having a hard time reconciling your reserves versus where uninsured Puerto Rico debt is trading in the [mini] market. So for instance highway debt is trading in the $0.20 to $0.30 on the dollar [zip code], similarly Rum tax bond, and for your entire book of public finance exposure have only $400 million reserved. Not everything of the $400 million would be linked to Puerto Rico. So it would seem that your reserves even if we were to assume that the entire $400 million is related to Puerto Rico which isn’t would translate into haircut of $0.16, whereas the market haircut on non-COFINA debt, you know we are not even talking about COFINA highway center and convention center and Rum tax debt, it’s in order of magnitude higher. So was just curious if you have any views on that.
David Trick: Sure. There’s a couple of factors that go in to that. Certainly we do monitor the trading prices of securities in the market place, but strictly from an accounting standpoint, reserving process standpoint that is not what drives reserves. What drives reserves is our internal house view, credit view of each and every exposure, and that is based on, as we’ve talked about in prior calls, probability weighted scenarios of potential outcomes, and so while reserves in the worst case could potentially be worse and we’ve full disclosed that in our disclosures in the Q, what is presented is a probability weighted view of the world, that considers a whole host of potential outcomes on a transaction by transaction basis. While we have observed in past experiences with similar type of situations is that, and as you probably know better than we do, often times what you see in the market place is a much quicker reaction in bond prices than you see in relative fundamentals which includes often times a significant liquidity premiums being placed in the bonds. All of those factors which don’t really reflect or impact, I should say, our view of lost reserves. So there are some fundamental differences between market pricing for securities and our ultimate view of what losses are embedded in the portfolio.
Jatin Dewanwala - MetaCapital: Got it. Yeah the recovery is that you know, you are budgeting for versus what the market is, is it in a different ballpark altogether till now, probably you could say that, the market may be more severe versus what you are, but if you $1.3 billion - $1.4 billion of that debt and even apply haircut that’s like a $650 million hit. The markets’ is obviously applying the 70% haircut not higher. So overall I see your point. Just seems like the two are in congress with respect to each other.
Nader Tavakoli: Jatin led me add, having done this for a long time, I think that those people who trade in the distress debt markets know that liquidity and non-fundamental factors often drive pricing, and I think here in Puerto Rico probably some examples of that. I think rate of return expectations in distressed securities are not necessarily the same discount rates that you’d apply in an insurance portfolio and I go back to everything that David said. I think if you look at Ambac’s history and the history of its reserving, you will see that we have a very good history and so I think that puts us in good stead in terms of our approach to these things. And again, not that this drives our thinking at all, but if you look at us from a relative perspective, relative to our [monoline] sisters, I think that you have to walk away in terms of our reserving on these things, feeling that we are pretty well reserved. I think that it’s fairly public knowledge that our monoline brethren have twice or more of the current exposure to Puerto Rico that we have, and I think people have tried to back in to their reserves versus our reserves and come out fairly favorably in terms of our reserving versus theirs. So I think that we feel that based on everything we know about Puerto Rico right now, putting all the factors in to the accounting conventions that drive these things we are pretty well reserved.
Operator: And our next question comes from the line of Michael Cohen from Opportunistic Research. Your line is open.
Michael Cohen - Opportunistic Research: I have rep and warranty litigation question. Was just curious, obviously you guys have stated in the past a desire to defend and represent Ambac’s interest boastfully and to maximize the amount of recovery. Just curious, what the sort of impediment is to potentially looking at settlement activity. Is the bid in the ask too wide between you and the counterparties or is it the fact that the counterparties just don’t believe that they ultimately have any liability.
Nader Tavakoli: I can’t get in the counterparties head and we are fully aware of the value of a dollar today versus the value of a dollar down the road, particularly when you impose the risk and uncertainties of litigation. So we are fully aware of the risks and benefits. We are also fully aware of the value of our cases. As I’ve said in the past, I think we have the two leading firms in this sector advising us we’ve said publicly that Patterson’s litigation new cases for the most part, but we’ve brought Quinn Emanuel as well to give us additional advice on these things, so that we would have additional comfort and confidence around our judgements and decisions on these matters. And so, I can’t tell you what the other side is thinking. I think it’s pretty evident from various settlements including settlements with the government that it can’t possibly be that they don’t think they have liability associated with these matters. And so I think it backs in to your other hypothesis as to why we have not yet reached settlement.
Michael Cohen - Opportunistic Research: If I follow from that, how frequent or often are the discussions around that gap. Is the gap so wide that there is not really a form to have the discussion? How do you view this upcoming Friday’s potential mediation activity as mandated by Judge Ramos in that context?
Nader Tavakoli: Michael it’s just as frustrating for me not to be able to talk about that stuff as it is for the stakeholders. But I really think that it’s in everybody’s interest for us not to try to speculate or to lend color on those kinds of issues and quite frankly it would be just pure speculation if I try to conjunct [you] as to the possibility of any particular mediation or meetings. So I just really can’t comment on that in any way.
Michael Cohen - Opportunistic Research: And last question is regarding your RMBS exposures and those where you’re estimating future losses as David implied HPA has played a role in adjusting your estimates. Are there specific securities that you can kind of give us an example where perhaps loan to value has improved such that the potential future reserves have come down significantly or exactly how you expect this to play out for lack of a better way of saying it?
David Trick: I don’t think I can give you a specific security of the top of my head, but generally speaking when you look back the effect of loan to values, psychologically that’s very helpful in this transaction in terms of homeowner’s willingness to stay in their homes and potentially their ability to refinance their mortgages. Also from a historical or current sort of loan to value standpoint, that’s one of the main ways it impacts the economics of our transactions. On a sort of going forward standpoint, you have all those dynamics as well as the fact that increasing HPAs in the transactions help reduce severities. So HPA affects the transaction both from a sort of current standpoint as well as our forecast of the ultimate impact of potential embedded losses in the transactions.
Michael Cohen - Opportunistic Research: Understood. Are you guys looking at this from a perspective almost like from the way that MIs might look at it in terms of a cure rate? Have you seen inflexion in the cure rate in particular bonds where you’ve seen benefit from HPA, meaning mortgages that were delinquent have somehow exhibited properties that would not have been expected 12 or 18 months ago?
Nader Tavakoli: I think overall we’ve seen a general, across the board improvement in performance in our transactions to the point where claims presented on a monthly basis have consistently come down by certainly a net basis, the second lien transactions in particular, effectively experiencing no claims at this point for HELOC transactions, for example. So overall I would just comment that the impact of these dynamics have been pretty consistent across the board and reflected in the deal performance both from the claims standpoint as well as the amount of general delinquencies and the severe delinquencies that are being experienced in each of the transactions.
Operator: And our last question comes from the line of Charles Post from Sterling Grace. Your line is open.
Charles Post - Sterling Grace: I am not overly familiar with the lawsuit against JP Morgan Investment Management. Can you provide a little more detail on that? I did look through their 10-Q this quarter and they talk about a $1 billion sort of claims there between you and the share guarantee. So could you give me more color on that?
Nader Tavakoli: The lawsuit emanates from JP Morgan Investment Management or mismanagement the case might be of assets held against Ambac UK’s insurance of Ballantyne transactions. The suit is public and I refer our folks to the public filings. So I’d prefer not to try to characterize the specific aspects of the lawsuit, but it really just emanates from our assertion and Ballantyne’s assertion that JP Morgan willfully mismanaged the funds.
Charles Post - Sterling Grace: Is there a way to tell within the lawsuits that billion dollars from the JP Morgan 10-Q how much that assured, how much that is (inaudible).
Nader Tavakoli: Go ahead David.
David Trick: Did you say on the JP Morgan’s Q?
Charles Post - Sterling Grace: Yeah. In the Q it talks about the two lawsuits, I guess its Ambac and Assured Guarantee. Their claim is that JP Morgan Investment Management is liable for a billion in market value of these securities, lawsuits.
David Trick: To clarify we ensured about 55% of the Ballantyne transaction at AUK and insured a portion of the transaction as well and then there is an uninsured piece of the transaction. So ultimately the potential benefit of that lawsuit in terms of any recoveries that we would experience, would flow through the waterfall of the Ballantyne transaction and ultimately accrue to the benefit of those three tranches i.e. the unsecured Ambac insured and the assured insured components of the transaction as well. And similarly assured guarantee they have a sister lawsuit related to a transaction called [OrthoNY] which is a very similar transaction to Ballantyne that we are not involved in.
Charles Post - Sterling Grace: Is there any benefit within your reserves or some kind of [R&W], I know it’s the R&W, but built in for that lawsuit.
David Trick: When we look at our reserving again the Ballantyne transaction similar to all the reserves within our portfolio, we look at a whole host of different scenarios and we have probability weighted in various different outcomes with regards to that lawsuit and the affect, potential recoveries would have as those item flow through the waterfall and get [dived] up according to the structure as I just mentioned.
Charles Post - Sterling Grace: Switching topics, in the [operative] settlement, the claims being resources. There was a change to the way you calculate that, significantly higher number. Can you walk me through the change there?
David Trick: Sure. The change was affectively to back out or gross up the claims paying resources by the amount of subrogation recoveries. I think there was a fundamental misunderstanding of our claims paying resources and how you presented it. While we had disclosure around that, I think it just wasn’t blatantly obvious from looking at the nominal numbers how rep and warranties for example as part of the subrogation number were affecting those claims paying resources. So simply put, while subrogation recoveries including rep and warranty were included in our surplus numbers that are component of the claims paying resources, since they are accounted for as a sort of contra-liability they were offsetting the loss reserve component of claims paying resources. So while certainly obvious to us here, it became apparent to us that readers of that presentation, it wasn’t clear to the readers of that presentation that the amounts had to be adjusted for that. So we changed the presentation to make that more clear.
Charles Post - Sterling Grace: Lastly, are you able to buy, given your insured Puerto Rican debt and if so have you done so, so far?
David Trick: We haven’t done that so far, and we are able to buy it similar to any other purchase of our insured securities, it would be subject to limitations within the investment portfolio. So we would have to sort of allocate the portfolio in a particular way to make room or capacity for those purchases, but similar to the purchase of insured RMBS to the loan bonds that we’ve done in the past, we could certainly acquire insured Puerto Rico securities.
Operator: And our next question comes from the line of [Chad Flex] from Deutsche Bank. Your line is open.
Unidentified Analyst: May I ask a question on the RMBS re-securitization commentary that you gave us minutes ago? I just wanted to see if you could give us any more narrative around future pipeline there. Is that just kind of a one-off development this last quarter based on what you had in inventory or is that something that we should expect to see more off going forward.
David Trick: That was certainly based on what we had in inventory. This is actually their second transaction that we’ve done. It’s been a little while since we’ve done one, and so it will depend on sort of thing I commented earlier on what purchases and sales we make within the insured portfolio with regards to RMBS securities, but we are certainly open to doing additional transactions in the future if the economics makes sense for us.
Operator: And now I am showing no more questions. I’d like to turn the call back over to Mr. Nader Tavakoli.
Nader Tavakoli: This has been an incredibly busy time at Ambac. We continue to focus and take action relating to managing our risks, optimizing our portfolio, improving efficiencies in our operations and affecting a successful rehabilitation in segregated accounts. In short we are working hard to find and create value at Ambac for our shareholders everywhere possible. I want to thank all of our employees for their dedication, hard work and sacrifice through this time. And I want to thank all of our stakeholders for their support and patients as well. Please feel free to call Abbe Goldstein with any further question related to the quarter or any other matter. We look forward to speaking with you in the future. Thank you.
Operator: Ladies and gentlemen, this does conclude the program. You may now disconnect.